Operator: Thank you for standing by, ladies and gentlemen, and welcome to the Safe Bulkers Conference Call on the First Quarter 2025 Financial Results. We have with us Mr. Polys Hajioannou, Chairman and Chief Executive Officer; Dr. Loukas Barmparis, President; and Mr. Konstantinos Adamopoulos, Chief Financial Officer of the company. At this time, all participants are in listen-only mode. There will be a presentation followed by a question-and-answer session. [Operator Instructions] I must advise you that this conference is being recorded today. The archived webcast of the conference call will soon be made available on the Safe Bulkers website, www.safebulkers.com. Many of the remarks today contain forward-looking statements based on current expectations. Actual results may differ materially from results projected from these forward-looking statements. Additional information concerning factors that can cause the actual results to differ materially from those in the forward-looking statements is contained in the first quarter 2025 earnings release, which is available on the Safe Bulkers website, again, www.safebulkers.com. I would now like to turn the conference call to one of your speakers today, the Chairman and CEO of the company, Mr. Polys Hajioannou. Please go ahead, sir.
Loukas Barmparis: Hello. I will do the presentation. So, good morning to all. I'm Loukas Barmparis, President of Safe Bulkers, and I'm welcoming you to our quarterly results. During the first quarter of 2025, we faced a softer charter markets due to seasonality, geopolitical uncertainties and concerns related to tariffs, which could affect global trade and growth. We maintained our strong balance sheet and took delivery of our 12th newbuild. In this volatile environment, we continued to renew our fleet, focusing on operational excellence, environmental performance in relation to IMO regulations, and the creation of long-term value for our shareholders, maintaining a strong capital structure, ample liquidity, and a leverage of [about 37%] (ph). Further to our repurchase program of roughly 3% of the company's common stock, which we fully completed, we've declared a $0.05 per share dividend, rewarding our common shareholders. We remain focused on capital allocation towards our newbuilds program on improving our operational efficiency and environmental footprint as all our actions are targeting to increase the wealth of our shareholders. Following a comprehensive review of the forward-looking statements language, which is presented in Slide 2, let's proceed to examine the supply side dynamics in Slide 4. The drybulk fleet is projected to grow by about 2.8% on average in 2025 and in 2026 due to stable new deliveries and increased recycling with Panamax vessels comprising the largest share. The order book now stands at about 11% of the current fleet and newbuilding orders have slowed. Asset prices are projected to weaken further in the second -- and second-hand ships price may fall in line with freight market. Recycling volumes are anticipated to rise through -- as market continues prompt the retirement of older vessels. 30% of ship capacity in the order book will be capable of using alternative fuels upon delivery and, out of those ships, 40% can use LNG, 37% methanol, and 23% ammonia. However, the dual-fuel order book in the drybulk sector is minimal. We do have two dual-fuel newbuilds on order with delivery by Q1 2027. And currently about 25% of the existing global fleet is older than 15 years. Safe Bulkers fleet now accounts 12 Phase III vessels on the water, all delivered after 2022. In addition, 24 vessels have been environmentally upgraded and 11 are ECO vessels having superior design efficiencies. 80% of our fleet comprised from Japanese built vessels, surpassing the global average of 40%, while our whole average fleet age is about 10 years old. We believe that as energy-efficient designs will have an advantage in the coming years, we will become even more commercially competitive, as we have on our order book six more Phase III vessels, which were placed at prices well below the prevailing market to be delivered to us by the first quarter of 2027, positioning us favorably to compete within the stringent greenhouse gas targets. It is worth noting that MEPC 83 has adopted the new environmental regulation in relation to global fuel standard, which conceptually is similar to FuelEU regulation. The global implementation of a fuel standard that penalizes the excess of fuel carbon intensity compared to specific predetermined reducing limits broadens the scope of the regional FuelEU and will substantially affect the vessel tradability 2028 onwards, promoting the use of alternative fuels and the energy efficient Phase III vessels. The recent decisions of the MEPC 83 dictate a faster pace towards decarbonization. Moving on to Slide 5, we present an overview of the demand and basic commodities trade. The combination of trade war as expressed through tariffs and the Chinese property crisis elevate policy uncertainty and pose a considerable downside risk for global growth and against this inflation. For our segment, we anticipate a softer freight rate market and supply grows faster than demand and we expect an increasing focus on the existing fleet decarbonization and on energy efficient newbuildings. The global GDP growth expectations for 2025 and 2026, as reflected in the IMF's April forecast, call for a growth around 2.8% in the coming years combined by gradual control of inflationary measures. According to BIMCO, the forecasted global drybulk demand will be from minus 1% to 0% in 2025, followed by a growth of from 1.5% to 2.5% in 2026, with grains and minor bulks being the best performing sectors. China's slower growth may hinder demand for drybulk commodities like iron ore and coal. Iron ore shipments are estimated to slightly grow as a result of weak Chinese demand and increased recycled steel usage. Coal trade will be affected by the rising renewable energy use in Asia and the increased coal production in China and India. Grain and minor bulk shipments are predicted to rise and expected to be a key growth driver. The IMF projects China GDP growth to be 4% in 2025 and, in 2026, signaling a slowdown in consumption amid delayed stabilization in the property market and persistently low consumer confidence and trade uncertainty. India, on the other hand, continues to perform, and is projected to experience the fastest growth among major economies with a forecasted 6.2% GDP increase in 2025 and 2026. Increased renewable energy and industrial growth will be key drivers for India's economic momentum. Its expanding domestic market and manufacturing sector may continue to contribute positively to the drybulk demand with infrastructure investments playing a vital role. Summing up the supply-demand equilibrium on Slide 6, the supply growth is expected to continue to outpace demand, [excepting] (ph) pressure on freight rates. The Cape market segment has been weaker through the year. On the other hand, all eight of our Capes are presently period chartered, with an average remaining charter duration of two years at an average daily charter rate of $23,000 versus about $16,000 on the spot market providing us visibility of cash flows topping US$137 million in contracted revenue backlog from Capes alone, excluding the scrubber benefit. On the Panamax front, the charter market stands soft at about $11,500. Moving to Slide 8, we present an overview of our quarterly highlights. We have declared our 14th consecutive quarterly dividend of $0.05, representing a 5.5% dividend yield, while at the same time, our free cash flow finance our newbuilding program. Furthermore, we completed the repurchase program of 3 million common shares, we maintained ample liquidity, profitability -- and capital resources of $276 million, and a comfortable leverage of 37%. While we achieved zero vessels for 2024 in the D and E carbon intensity, CII, rating of IMO. Lastly, recently we took delivery of our 12 Phase III newbuild, serving as a testament to our commitment towards sustainability. In Slide 9, we present our return to shareholders of $73.6 million paid in common dividends and $69 million paid in common shares repurchases since 2022. We have been consistent in generating sustainable returns across market fluctuation as a result of our track record, capital management and our overall business model. Concluding the company's update in Slide 10, we present our strong fundamentals. Safe Bulkers is a drybulk company with $390 million market cap, 47 vessels on the water, having $317 million scrap value. We maintained significant firepower with $128 million cash, $149 million in undrawn RCFs, and $176 million borrowing capacity against our significant order book of six newbuilds, mainly in Japanese shipyards. We consistently focus on our majority Japanese build fleet, which has [advantage] (ph) on energy efficiency and lower CO2 taxation, reflected in our CII rating of zero vessels at the bottom ratings of D and E for 2024. We maintain a young technologically advanced fleet, strong balance sheet, comfortable leverage and a low net debt per vessel of $8.5 million for a 10-years-old fleet. We have built a resilient business model with cash flow visibility of $203 million in revenue backlog, healthy expansion for sizable fleet that achieves scale, and a [minimum] (ph) 5% annualized dividend yield strategically positioned to leverage on the environmentally regulatory landscape. I now pass the floor to our CFO, Konstantinos Adamopoulos for our quarterly financial overview. Konstantinos, the floor is yours.
Konstantinos Adamopoulos: Thank you, Loukas, and good morning to all. During the first quarter of 2025, we operated in a weaker charter market environment compared to the same period in 2024 with decreased revenues, decreased earnings from scrubber-fitted vessels and increased operating expenses. Moving now on Slide 2 with our quarterly financial highlights for the first quarter of 2025 compared to the same period of last year. Our adjusted EBITDA for the first quarter of 2025 stood at $29.4 million compared to $64.3 million for the same period in 2024. Our adjusted earnings per share for the first quarter of 2025 was $0.05, calculated on a weighted average number 105.1 million shares compared to $0.20 during the same period in 2024, calculated weighted average number of 110.4 million shares. On the graph on the top, during the first quarter of 2025, we operated 46 vessels on average, aiming an average daily time charter equivalent of $14,655, compared to 47.08 vessels on average, aiming time charter equivalent of $18,158 during the same period in 2024. Our daily vessel operating expenses increased by 6% to $5,765 for the first quarter of 2025 compared to $5,442 for the same period in 2024. Daily vessel running expenses, excluding dry docking and pre-delivery expenses increased by 10% to $5,546 for the first quarter of 2025 compared to $5,038 for the same period in 2024. Concluding our presentation on Slide 13, we present a quick overview of our quarterly operational highlights for the first quarter of 2025. We would like to highlight that based on our financial performance, the company's Board of Directors declared a $0.05 dividend per common share. I would like to emphasize that the company is maintaining a healthy cash position of around $122 million as of May 9, 2025, another $128 million available in committed revolving credit facilities. So, we have a combined liquidity and capital resources of $250 million. Furthermore, we have contracted revenue from our non-cancellable spot and period time charter contracts of $179 million net of commissions and before any additional scrubber revenue. We also have additional borrowing capacity in relation to six newbuilds upon the delivery and one existing newbuild, which is debt free. We believe our strong liquidity and our comfortable leverage provide flexibility to our management in capital allocation and this would enable us to expand the fleet further, build a resilient company, create a long-term prosperity for our shareholders. Thank you, and we are now ready to take your questions.
Operator: Thank you. We'll now be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Omar Nokta with Jefferies. Please proceed with your question.
Omar Nokta: Thank you. Hi, guys. Good afternoon. Thank you for the update. Clearly, you've been buying back shares at a fairly decent rate, I'd say, clearly over the past few years. You launched the 5 million share buyback three months ago. You finished it up fairly quickly. How are you thinking about buybacks from here? Obviously, there's still a lot of uncertainty just given the macro, but the outlook maybe seem to have gotten slightly better perhaps just based off of the way the financial markets have acted here post this China-U.S. agreement, and maybe that brings about a more positive attitude. Just wanted to get a sense from you, how does that sort of this backdrop affect your view on further share repurchases from here?
Loukas Barmparis: Yeah. As you're aware, we always react on a very consistent basis and according to certain principles. So, the things that we are considering in order to initiate a buyback program is, first of all, what is the condition of the market. So, in profitable markets, we tend to buy more shares. The second is the price of our stock. So, if the stock price -- if we think that the stock price is depressed, we may initiate buyback programs. Generally, as already said several times, we believe that our stock is undervalued. So, quite often, it's worth investing for everybody, not only for us, it's worth investing in our stock instead of buying a new ship.
Omar Nokta: Yeah, makes sense. And I guess maybe just as you kind of think about the idea of buying your stock, obviously, NAV seems across different metrics or different -- whomever is calculating, it's definitely materially above the current stock price. What would you -- how could you -- can you maybe just give perhaps how you're seeing the sale and purchase market as it is now? We understand that values have been rather elevated given where freight rates are and some of the uncertainty in the market, but can you just give a flavor of what you're seeing in ship values and how things are looking directionally?
Polys Hajioannou: Yes. Hello from me. The S&P values, I would say that have dropped in the last six months around 25% on the older ships and around 10% or 15% on the very modern ships. So, it's not really attractive prices to start buying ships right now, considering where the freight market is. So, at this point of time, we are not doing much. We have our newbuildings to take delivery of. And we are doing the buyback from time to time. But of course, also the buyback, we don't want to do it too fast or too much in hurry because the company still has to take delivery of six ships. And we don't plan to do a very fast buyback until the market improves -- freight market improves. So, we are there, and we are waiting for the opportune time to buy stock once it remains depressed in a situation that we have better signs of some improvement in the freight market. If the freight market stays at current levels, we're not going to rush and buying more stock at such a freight market because we have to keep all companies' options open.
Omar Nokta: Yeah, make sense. Great. Well, thank you. I'll turn it back.
Operator: The next question is from the line of Climent Molins with Value Investor's Edge. Please proceed with your questions.
Climent Molins: Hi, good afternoon, and thank you for taking my questions. I wanted to start by following up on Omar's questions on buybacks. Could you confirm whether the 3 million share program was exhausted during the first quarter? And if not, how much was spent post quarter-end?
Polys Hajioannou: Yeah. This, I think, we have reported and has been exhausted, yes. So, 3 million have been purchased. So, the program has been completed.
Climent Molins: Yeah. I was asking if you could clarify whether any repurchases were done after quarter-end for modeling purposes, mostly?
Polys Hajioannou: After?
Konstantinos Adamopoulos: After quarter-end. Only in the first quarter. I mean, the whole repurchase program was completed within the first quarter.
Climent Molins: That's very helpful. And I also wanted to ask about your Capesizes, which are all now employed on medium-term contracts. You have a couple of those coming up later this year. Is there any appetite to trade them on spot, or would you prefer to fix them on time charters?
Polys Hajioannou: Yeah. The one has come -- is coming open this month. At the moment, the charter rates -- the period charter rates are not at the levels we would hold for a long period. We will opt for round voyage in the spot market at the current levels and try then after a month or so to refix or maybe on period if there is a better environment. The other one will come open is another one that most likely will come around August. Again, we will judge at the time we will go -- if ship is delivered in August, that's the earlier part of the window. If ship is delivered at that point, we will see at the time what is the best thing to do. Generally, we are trading the spot market unless we see employment period -- employment of a couple of years above 20,000, then we consider the period [indiscernible].
Climent Molins: Makes sense. Thank you. That's everything from me. Thank you for taking my questions, and congratulations for the quarter.
Polys Hajioannou: Thank you.
Operator: Thank you. At this time, I'll turn the floor back to management for closing remarks.
Loukas Barmparis: Thank you very much for attending this -- our results, this webcast, and we're looking forward to discuss again with you in the next quarter. Have a nice day. Thank you.
Operator: This will conclude today's conference. You may disconnect your lines at this time. Thank you for your participation. Have a wonderful day.